Operator: Hello. Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Ruth's Hospitality Group Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to Mr. Arne Haak, Executive Vice President and Chief Financial Officer. Please go ahead, sir.
Arne G. Haak: Thank you, Cecilia and good morning everyone. I'd like to remind you that part of our discussion today may include forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer you to today's earnings press release and our recent filings with the SEC for a more detailed discussion of the risks that could impact future operating results and financial conditions. I would also like to remind you that today's call may not be reproduced in any form without the expressed written consent of Ruth's Hospitality Group Incorporated. Finally, I'd like to address a technical matter regarding our comparative sales reporting for 2013. Our 2013 comparative sales reporting will be done on the fiscal week basis, not a calendar week basis. This is an important distinction because of the 53rd week in our 2012 fiscal year, our 2013 fiscal calendar is one week ahead of the same fiscal week in 2012. So our first quarter 2013 will be comparing the 13 weeks ending March 31, 2013, against the 13 weeks ending March 25, 2012. We do not believe that this will cause a meaningful variance on a quarterly basis versus a calendar week comparison. If there is a significant variance, we will provide the appropriate explanation on the applicable earnings call on 2013. As a result, the calendar in fiscal comparisons will be properly aligned in 2014. I would now like to turn the call over to Mike O'Donnell, our Chief Executive Officer of Ruth's Hospitality Group.
Michael P. O'Donnell: Thanks, Arne. Let me apologize for sounding a bit foggy because as I am. So if there's anything I end up saying as unclear I'm sure you'll make it clear in question-and-answer. We are very pleased to have concluded another strong quarter of operating results in a fitting way to end a great year. Before we go any further, I want to thank all of our franchisees and team members and afficionados at both Ruth's and Mitchell's for their efforts in 2012. We are a hospitality company and the key differentiating point of our business lies in the great treatment our employees strive to give our guests everyday. Whether it's a business dinner, a salutatory occasion or just a special night out, it is our franchisees and team members and afficionados who bring all of these together and help make us a successful business. I'd now like to take a few minutes to cover some of the highlights and significant developments of the quarter before turning it over to Arne to take us through the financials. Ruth's Hospitality Group saw healthy momentum throughout the year led by continued traffic growth at Ruth's Chris Steak House and a resurgence at Mitchell's as the year progressed. And despite continued commodity cost challenges, we recorded significant improvements in our year-over-year sales. During 2012 we also undertook strategic initiatives to improve our capital structure that we believe will pay significant benefits going forward. In February, we successfully refinanced our credit facility resulting in increased financial flexibility and lower borrowing costs. Additionally in March we repurchased and retired our entire class of preferred shares, which have been owned by affiliates of Bruckmann, Rosser, Sherrill. We introduced our fully diluted common count share by approximately 8.6 million shares and eliminated 10% dividend on the preferred stock which amounted to $2.5 million annually. Furthermore, we saw our new unit pipeline grow stronger and gain momentum with increased openings during the year. So as you can imagine, we are very pleased as we look back at our accomplishment for 2012. During our fourth quarter highlights by brand, comparable sales at Ruth's Chris Steak House increased 5.4% and marked the 11th consecutive quarter of positive comparable sales for the company-owned restaurants and our 12th straight quarter of traffic gains. Even more impressive is that our strong comp gains on top of a 7.7% increase in last year's fourth quarter and over a 3-year period our sales growth has been over 20%. [indiscernible] for traffic increased by 1.7% during the fourth quarter and our average check increased 3.6%. Our sales growth at Ruth's Chris was once again steady throughout the quarter and we are pleased to note that our sales growth to date through early February is up in the mid-single digits. Across the entire portfolio, 64 company-owned Ruth's Chris restaurants, all but one location reported positive comp sales during the full fiscal fourth quarter in part due to the additional week in the fourth quarter of 2012. The only restaurant that experienced a year-over-year decline was Weehawken, which was closed for over 3 weeks due to damage from superstorm Sandy. On a comparable 13-week basis, 84% of the company-owned restaurants reported positive comp sales. We believe our strategy for growing profit through traffic first and pricing second continues to pay dividends, as shown by the continuation of our healthy comp sales and traffic growth. While we believe we have additional pricing power, we expect to be thoughtful and prudent with respect to future increases. Our menus currently reflect approximately 2% price increase. With the current economic backdrop, it is still our strategy of focus on growing sales and traffic gains and maintaining our value orientation. Private dining and catering sales at Ruth's Chris Steak House grew 12.2% in the fourth quarter on top of last year's 10% growth, reflecting very strong holiday bookings. Our Ruth's Chris franchise-owned domestic comparable restaurant sales increased 4% during the quarter, while international comparable franchise-owned restaurant sales increased 0.7%, resulting in a blended increase of 3.4%. In terms of our Ruth's Chris brand increased sales are driven by continued outstanding execution by a strong group of executives in the entire Ruth's operations team, the success of Sizzle, Swizzle and Swirl happy hour program, our Ruth's Seasonal Classics menu and our enhanced marketing efforts. We were once again recognized this year with awards in both Nation's Restaurant News and Consumer Reports which highlighted our food quality and the guest service and hospitality. The Sizzle, Swizzle and Swirl happy hour premium bar menu that we introduced late in the first quarter features our premium menu and drink items, continues to deliver an incredible quality and an accessible price point in a way that we believe does not compete with our dining room sales. This offering gives us an opportunity to not only drive incremental sales at the traditional happy hour but also turns many first-time, often younger guests, into Ruth's Chris regulars. The menu is currently in about 2/3 of our company-owned restaurants and 1/3 of our U.S. franchise restaurants. While the program may experience additional growth in our franchise restaurants, we believe that the deployment in company-owned restaurants is largely complete. We continue to use our Ruth's Seasonal Classics as an offering to consumers who may be looking for value or price certainty. When dining at Ruth's Chris, particularly in important in light of the current economic environment, this prix fixe selections now comprise approximately 20% of sales, consistent with the trends that we saw in the third quarter. Customers who select the Ruth's Seasonal Classics continue to exhibit preference for the higher-priced in the 2 offerings. During the fourth quarter 60% of the Ruth's Seasonal Classics sold were in the higher-priced tier which is flat year-over-year. While there still remains economic uncertainty, we knew the continued growth in comparable store sales, traffic and sales, and reduction in preference for the Seasonal Classics and increased preference for higher priced items is a sign of continued improvement in consumer confidence. Our marketing efforts in the fourth quarter included a 7-week campaign of national cable television, our new ruthschris.com website and continued efforts around improved customer segmentation. For the year we increased our partnership with key influences in targeted demographics, such as the [indiscernible] Wine Enthusiast Magazine and our Women in Business Speaker Series in partnership with Marie Claire magazine. Switching to Mitchell's Fish Market, we continue to be pleased with the efforts of the leadership and operating teams. Our effort continues to focus on many developments, operational execution which are taking hold as evidenced by the increasing comp stability at Mitchell's. At Mitchell's Fish Market comparable sales increased 3.4% during fourth quarter. This growth was comprised of 5.4% increase in traffic, partially offset by 1.9% decrease in the average check. The sales efforts at Mitchell's continue to focus around targeting specific underperforming days and day parts as part of this effort. As part of this effort we launched our Reel Delicious lunch promotion in August. This value price promotion contributed to the decrease in average check but helped drive 10% increase in our lunch traffic. Similar to the trends we are seeing at Ruth's we have been also seeing slight declines in preference for our prix fixe menu options which currently comprise approximately 11% to 12% of sales. Year-to-date, our sales trends at Mitchell's Fish Market were flat to up low-single digits. During the fourth quarter, 68% of the Mitchell's Fish Market restaurants reported positive comp store sales on an equivalent 13-week basis. Mitchell's is clearly moving in the right direction and we are encouraged by the initiatives we have planned for 2013. On the topic of real estate development has been a key area of focus for our team during 2012. And as I noted before, our development pipeline has gained momentum with increased openings during the year. During the fourth quarter, one company-owned Ruth's Chris Steak House restaurant opened in Cincinnati, Ohio and a franchise for Ruth's opened in Niagara Falls, Canada. All in all, 6 new Ruth's Chris Steak Houses opened during 2012, which is comprised of 4 franchised restaurants, 1 company restaurant and 1 restaurant under a management agreement with the Eastern Band of Cherokee Indians in Cherokee, North Carolina. Looking at 2013 development in early February, a new restaurant opened at the Harrah's Las Vegas Casino and Hotel under our licensing agreement. This is a remarkable 400-seat restaurant that truly reflects our brand standards of a classic American steakhouse with a touch of whimsy. We are pleased with our growing partnership with Harrah's and the city return of Ruth's Chris to the heart of the strip in Las Vegas. In addition, our current development plans in 2013 include the relocation of our Houston, Texas restaurant in the second quarter and the opening of company-owned restaurant in Denver, Colorado in the third quarter. Our franchised partners are also expected to open 2 restaurants in the second quarter and an additional 2 to 3 restaurants in the fourth quarter of 2013. For a total of 4 to 5 new franchised restaurants. We remain active on our development efforts and are continuing to work on additional company and franchise restaurants for 2014 and beyond. Finally, we recently announced that we have signed an agreement with the Ko Group for development of 4 new franchised Ruth's Chris Steak House restaurants to be opened in mainland China over the next 3 years. The new restaurants are planned for Shanghai and Beijing and will be the first Ruth's Chris Steak House restaurants in mainland China. The Ko Group has had great success as an existing franchisee with 7 restaurants in Japan, Taiwan and Singapore. And we are excited to partner with them as they further expand the presence of Ruth's Chris Steak House brand internationally. Overall, our franchise pipeline remains robust as we have commitments for 20 future franchise restaurants over the next 5 years. It is worth noting that by mid-2013, we have franchise and licensing partners who have opened or relocated 13 new Ruth's Chris Steak Houses worldwide in a 2-year period which represents a 10% increase to the system and an increasing important component of our overall sales growth. While we are encouraged by recent development activity, our focus in new unit development will remain disciplined and prudent with regard to capital deployment. We will continue to provide updates to you in newly signed leases and on franchise growth in our future quarterly calls. I'll now turn it over to Arne, whose voice I hope is clearer than mine.
Arne G. Haak: Thanks, Mike. For the quarter ended -- fourth quarter ended December 30, 2012, we generated total revenues of $115 million, which is an increase of $15.4 million or 15.5% compared to last year. As most of you know, our fourth quarter of 2012 consisted of 14 weeks compared to 13 weeks in the fourth quarter of 2011. And we estimate that approximately $0.02 of earnings can be attributed to the extra week. Total company-owned restaurant sales increased to $110.5 million or up approximately 16% compared to $95.4 million in the fourth quarter of last year. We estimate that approximately $9 million of the increase in revenues in the fourth quarter can be attributed to the extra week. Average weekly sales for all company-owned Ruth's Chris Steak House restaurants were approximately $101,000 in the fourth quarter, an increase of 7% compared to $94,400 in the same period last year. Restaurant operating weeks for the company-owned Ruth's Chris Steak Houses increased to 893 weeks this year versus 819 weeks last year, including 64 weeks attributed to the 14th week. Average weekly sales at Mitchell's Fish Market were $67,400 compared to $64,000 in the fourth quarter of last year for an increase of 5.2%. Restaurant operating weeks at Mitchell's increased to 266 from 247 and include 19 weeks attributed to the 14th week. Our numbers at Mitchell's exclude operating weeks from discontinued operations. Franchise income increased 7.9% to $3.9 million from $3.6 million last year due to improved sales volumes in the 14th week and an increase in franchise development. In terms of our cost structure, food and beverage costs as a percentage of restaurant sales decreased 40 basis points year-over-year in the fourth quarter. While our beef costs were up approximately 5.1% year-over-year during the quarter, we benefited from about a 2% increase in pricing in the quarter, increased alcohol mix and lower costs on other commodities. Restaurant operating expenses as a percentage of restaurant sales were 47.8%, a decrease of 310 basis points compared to last year. The year-over-year improvement was a result of lower benefit costs, favorable utility costs and the effect of higher sales on our fixed cost. Marketing and advertising costs as a percentage of total revenue increased 10 basis points due to the timing shift in our advertising from the second into the third and fourth quarters of this year. G&A expenditures increased to $9.2 million from $5.8 million a year ago. This was caused by increases in performance-based compensation, higher contract labor, the filling of open positions and higher stock-based compensation than last year. During the fourth quarter we recognized a $683,000 gain on the settlement of unclaimed liabilities, a $4.96 million net charge related to the relocation of a company-owned restaurant, the impairment of assets at 2 units and the gain on the disposal of property and equipment. In 2011, our fourth quarter included a $3.4 million net noncash charge for the impairment of an intangible asset and the disposal of property and equipment related to restaurant renovations. For the fourth quarter of 2012, the company reported GAAP net income of $3.7 million or $0.11 per diluted share on a base of approximately 35.3 million shares. This compares to net income applicable to preferred and common shareholders of $1.9 million or $0.04 per diluted share on a base of approximately 43.3 million shares in the fourth quarter of 2011. Excluding the previously mentioned noncash charges, our pro forma diluted earnings per common share was $0.18 in the fourth quarter of 2011 compared to non-GAAP diluted earnings per common share of $0.09 in the fourth quarter 2011. We estimate that the 14th week in the fourth quarter of 2012 increased earnings by approximately $0.02 per share. For the full year 2012, we had roughly $36.9 million in charges related to the refinancing of our credit facility and subsequent retirement of our preferred shares. In 2011, we had a onetime tax benefit of $4 million. Excluding income from discontinued operations, the fourth quarter and full year charges we just described, our non-GAAP diluted earnings per share increased over 70% to $0.55 during 2012 compared to $0.32 during 2011. We have included a schedule in our press release that reconciles our GAAP diluted earnings per common share to this non-GAAP EPS for the fourth quarter. At the end of 2012, the company had $45 million in debt outstanding under its senior credit agreement, down from $69 million at the end of the third quarter of 2012. Now looking ahead to 2013, I'd like to provide you with the following preliminary guidelines for some of our key cost metrics. We expect our cost of goods sold to be within the range of 32.5% to 33.5% of restaurant sales for the year based on beef inflation that is likely to again be north of 10%. We expect restaurant operating expenses to be between 50% and 51% of restaurant sales. Our marketing and advertising spend is projected to remain between 3% and 3.5% of total revenue for the full year. However, the allocation of our quarterly spend is likely to change in 2013 compared to 2012. For the first quarter, we expect marketing and advertising costs to represent between 2% and 2.5% of total revenues. Our G&A expenses are expected to be between $27 million to $28 million. Our effective tax rate for the full year is expected to be between 28% and 32%. And finally, our CapEx spending for 2013 is projected to be between $14 million and $16 million, which reflects reduced maintenance CapEx, but a higher number of new units at the Ruth's Chris brand, as well as approximately $2 million in IT investments. With that, I'd now like to return the call to Mike.
Michael P. O'Donnell: Thanks, Arne. Not only have we maintained our sales and earnings momentum in 2012, but we are pleased to be behind solid improvements at both Ruth's and Mitchell's Fish market teams. Therefore on the heels of a fruitful 2012, we eagerly look forward to the year ahead. And while the economic outlook remains uncertain and beef inflation will likely pose a headwind, we believe our shareholders remain in a favorable position for the following reasons: First, the business has performed very well over the last 2 years as evidenced by our key metrics. Second, we have a great management team in place that I have tremendous confidence in, and they are working on initiatives that I believe will maintain our momentum. Further, a balance sheet and ability to generate free cash flow are in great shape. And finally, I'm confident that we can smartly allocate capital over the coming years with the goal of optimizing shareholder returns. All in all, it remains an exciting time for this company. Before closing, I would like to once again like to recognize our franchise partners as the heart and soul of our brand. They're our key contributors to our success, to the pride that they take in the quality of their operations and the faith they demonstrate in the Ruth's Chris brand through their invested capital. Operator, I'd now like to turn over the call for any questions.
Operator: [Operator Instructions] And we'll go first to Andy Barish with Jefferies and Company.
Andrew M. Barish - Jefferies & Company, Inc., Research Division: A couple of quick questions. Just want to make sure, on the Harrah's Las Vegas deal, that's just going to run through, I guess, the fees will run through as a franchise, is that...
Arne G. Haak: Correct, Andy, that's right. It's a licensing agreement but from a P&L presentation perspective, it'll run through franchise income.
Andrew M. Barish - Jefferies & Company, Inc., Research Division: Okay. And then just a couple of maybe clarifications on 2 things. The International same-store sales look like they slowed down. Is there a region or something going on there? And then I was intrigued on your comments on your domestic alcoholic beverage sales actually picking up a little bit. You think that was a -- was that a holiday sort of people feeling a little bit better or there are something you guys are doing internally to try to drive that mix?
Arne G. Haak: Andy, I'll take the first question and then maybe Mike can bark out the answer on what we're doing in terms of alcohol initiatives. On the International, it's really related to one thing in terms of the comp sales that's largely influencing it. And that's one of our franchise partners opened a second location in Dubai. And so while the new location is not in the comp sales, the old sale is seeing a slight loss in sales. But net-net, when you put the 2 together, I think they're very happy with. But it is weighing on the International franchise comp. If you exclude the Dubai location, the first Dubai location from our comp sales, they all kind of align much more closely.
Michael P. O'Donnell: Andy, excuse me. Andy, I think that fourth quarter is really a result of a lot of things that are taking place throughout the year. Helen, our Director of Beverage, has done a fabulous job in re-spinning our wine menu, revisiting our wine set of glasses, introducing classic cocktails, wine dinners that we've had. I think we're seeing great momentum there. And I think it was culminating in the fourth quarter it continues, and we expect to see it continue. And additionally, our interest around Sizzle, Swizzle and Swirl, our happy hour program, which as I said in my comments is in about 3/4 of the restaurants. And the reason the other quarter can't is mostly governmental regulation. All of those initiatives that Helen has been driving with our operating people have really resulted in the improvement there. I know we're going a little bit against trend, but we think we can maintain that.
Operator: And our next question comes from Justin Marshall from Deutsche Bank.
Justin Marshall - Deutsche Bank AG, Research Division: I'm on for Jason West. I just had a couple of questions. One, about beef. Could you talk about how much you have locked and through when? And then secondly, could you maybe talk a little bit about pricing that you have going on in 1Q and what we might expect for the full year?
Arne G. Haak: Sure, this is Arne. In terms of beef, we're pretty much riding with the market right now. We've been able to kind of find some spot locks here and there, but nothing for the size or duration that we have found in past years. And the reason I think for that is if you look at the supply dynamics across any front, they're very supportive that suppliers don't really want to lock in like why do I want to lock in when the cattle herd is at their lowest since 1952. So we are largely riding with the market on beef prices but we are looking into the extent that opportunities present themselves, so I think we're prepared. We know what numbers we would be willing to commit at. And we'll be ready as soon as the opportunity presents themselves. In regards to pricing, we currently have about 2% on pricing right now. It's a culmination of 3 pieces. We did some pricing in the -- a modest price increase in the spring of 2012. It was pretty broad-based increased about $1 across the menu in various spots. And some of the Ruth's Classics menus came up particularly on the lower tier. We have another about 1% that was probably our most aggressive increase, which went into place in the fall of 2012 so that hit about October. Again, mostly -- this time it was more focused on proteins and the Ruth's Classics is where that increase is. And now in the winter, we've just implemented a modest increase, not nearly as aggressive as what we did in the fall. We are not putting any more price increases on the Ruth's Classics, we feel that's kind of where we wanted it to be. Well, we have kind of reviewed our restaurants' performance, moved them around within the tiers and that has produced, as a restaurant improves and moves into a higher tier, that has provided some price increases. But again, probably more around proteins. And we've also kind of pulled some of our price increases on appetizers. We're very focused, we're reluctant pricers as Mike said, we prefer to offset our cost with traffic and we're mindful of the elasticity that we observe of our customers as well as with the competitive pricing, And so on the appetizer side, there we actually took some prices back down. So I think we feel good. We don't have anything planned or contemplated at this time for later in the year, but we obviously have to be mindful of that and balance that against our business. But again, the bias is traffic.
Operator: [Operator Instructions] And we'll go next to James Fronda, Sidoti & Company.
James Fronda - Sidoti & Company, LLC: Just the $7 million on your books, would you guys be using any of that for anything specific like a stock buyback or do you think you'll just keep it on there for the most part?
Michael P. O'Donnell: Can you ask your question again?
Arne G. Haak: What was the front part of your question, the...
James Fronda - Sidoti & Company, LLC: The $7 million in cash, have you thought about a stock buyback?
Arne G. Haak: I think if you look at our investment materials, we've talked about we're focused on returning value to our shareholders. I mean we do have $45 million in debt. We have a credit facility that allows us to borrow up to $100 million. Our first focus is around organic growth and to the extent we can find organic growth of new restaurants with higher, above average sales volumes and above average returns that's the first place we go. So that's how I would characterize where our priorities are right now.
James Fronda - Sidoti & Company, LLC: Right. Okay. And in terms of the franchises, obviously, they're doing pretty well. I was just curious to know what sort of help that you give these franchises. Is it just the upfront money when they start up or do you help them along with purchasing as well during the year?
Michael P. O'Donnell: I'm sorry. I'll bark a little bit, sorry. We have, I think, a very good relationship with our franchisees. I believe we approach it as a partnership. They can contribute and participate in all our marketing efforts. They contribute and participate in our purchasing efforts. They contribute and participate in the creative side of what we do. And we're always taking feedback from them on an operational side. At the same time, we offer the support that each individual franchisee may think that they need. So we have recertification that goes on, on an annual basis where franchisees come and send their management people that we host and sponsor. We have ongoing conversations and review with our franchisees on an ongoing basis. So we continue to supply the support for many of our franchisees. I've been with franchisees for an excess of 20 years, and as I've said before, remain the heart and soul of our business and do a fabulous job. So it's really an interactive relationship.
Operator: And with no further questions, I'd like to turn the conference back over to Mike O'Donnell for any additional or closing remarks.
Michael P. O'Donnell: Thank you for very much for joining us today. I appreciate very much you listening to my barking voice. And as always, it's always a great day to go out and have a great meal at either Mitchell's Fish Market or Ruth's Chris. Thank you very much.